Paul Choi: [Interpreted] Analysts, investors, good morning. I am Paul Choi from the Capital Markets Office. First of all, I would like to thank you for joining NAVER's 2025 Q4 Earnings Presentation. On this call, we're joined by CEO, Soo-yeon Choi; and CFO, Hee-Cheol Kim, and they'll walk you through NAVER's business highlights and strategies and financial results, after which we'll entertain your questions. Please note that the earnings results are K-IFRS based provided for timely communication and have not been audited by an independent auditor and hence, are subject to change after such review. With that, I'll turn it over to our CEO to present on the business highlights.
Soo-yeon Choi: [Interpreted] Good morning. I am Soo-yeon Choi, the CEO. In 2025, NAVER strengthened its technological competitiveness and personalized content recommendation by expanding its content supply and building an integrated foundation model while focusing on enhancing usability across services, including home feed and clip and introducing a new search experience through AI Briefing. As a result, user engagement metrics within the NAVER ecosystem showed improvement. And when combined with increased advertising efficiency driven by AI technologies, this enabled NAVER to deliver new value to users. In 2026, NAVER will focus on delivering new experiences in which GenAI is seamlessly integrated across its core services, including search, discovery and exploration and commerce. In the near term, NAVER will expand its AI Briefing coverage and within the first half of the year, launch its first shopping agent and AI Tab to provide more immersive user experience. In parallel, NAVER will continue to explore new monetization opportunities in line with these changes. In commerce, where a structural shift from search toward discovery and exploration centered around NAVER Plus Store is gaining full momentum. NAVER aims to continue delivering double-digit year-on-year growth in Smart Store GMV this year by taking the lead in this market shift. With a clear objective of making 2026 a turning point that accelerates the next phase of growth in our commerce business, the company plans to further strengthen AI-driven personalization, expand and delivery infrastructure and continuously enhance the competitiveness of its membership offerings. Building on this increasingly solid competitive foundation, NAVER will move beyond short-term growth to establish enduring leadership in the e-commerce market. In 2025, NAVER made meaningful progress by implementing and advancing AI technologies across the search and advertising services while validating the impact throughout the year. AI Briefing has expanded its coverage to 20% of integrated search queries, quickly establishing itself as a core search experience within NAVER and demonstrating strong user engagement metrics. Over 8 months since its launch, the service has gradually scaled up with clear shifts in user behavior being witnessed. Moving away from the traditional way of entering 1-to-2-word queries, the volume of long-tail queries consisting of 15 characters or more has increased by more than 2x since the early post-launch period of AI Briefing in April, indicating the emergence of a new search experience. In addition, the time spent in the top section, where a summary of search results is presented, has remained stable. Furthermore, clicks on the section suggesting follow-up questions related to the original query have increased by more than 6x compared to the early post-launch period. Notably, after the recent application of personalization technologies, the click-through rates for follow-up questions saw an additional increase of 20% or more, confirming that users are finding the AI-provided information useful. These metrics indicate a structural improvement in the depth of user exploration and search quality driven by AI Briefing with the results reflecting the combined impact of expanding the collection of reliable proprietary data and continued efforts towards quality enhancement. Based on the expertise and confidence accumulated through this process, NAVER aims to expand the AI Briefing coverage to approximately 2x its current level by the end of 2026. While the initial focus will remain on expansion within informational queries, this application will be extended to areas where NAVER has strong competitive advantages, including shopping and local services, and personalization will be further advanced to deliver more tailored experiences for users. At the same time, NAVER will carefully monitor factors such as contextual cannibalization of search and advertising to flexibly adjust the scope of deployment as needed. These experiences are expected to be further expanded through the launch of AI Tab in the first half of this year. While it shares the same starting point as AI Briefing in organizing and presenting the answers that users are looking for in a clear and concise manner, it is differentiated as a conversational AI search that is connected to NAVER's broader ecosystem services, including shopping, place and maps, ultimately designed to drive actions such as purchases, reservations and orders. Leveraging NAVER's unparalleled user data and increasingly advanced reasoning capabilities, this will deliver an entirely new search experience that accurately understands each user's search, discovery and exploration needs and in which AI proactively guides the entire search journey that leads up to execution, including purchases and reservations. Starting this year, NAVER plans to further secure content and data across the platform to strengthen its competitiveness in AI-driven discovery and exploration. Content is an area where user touch points and data accumulated across search, community and commerce converge and plays a critical role in expanding user traffic engagement while increasing the overall density of the NAVER ecosystem. The company is already seeing meaningful growth momentum across multiple areas, including CHZZK. In addition, securing premium content such as broadcast rights for League of Legends as well as the Olympic Games and the FIFA World Cup is expected to drive new user acquisition and further strengthen the company's content ecosystem by leveraging increased traffic and IP. Looking ahead, NAVER will continue to enhance its user experience including deeper integration with membership offerings while developing new monetization models aligned with such improvements with the goal of translating stronger user engagement into sustained revenue growth. Monetization of AI search is also planned as one of the key priorities. With a top priority on preserving the users' exploration flow, ways to embed advertising naturally with useful content are being reviewed, with a testing set to begin in the second half of the year. While 2025 marked the year of laying the foundation for next-gen and validating its potential as a user experience, 2026 will be the year the company builds on the accumulated know-how and proven AI technologies to expand into an agent AI experience that only NAVER can deliver. Through this, NAVER aims to further strengthen user loyalty and search satisfaction while striving to ensure that these efforts translate into the creation of new revenue streams. Building on the know-how accumulated over the past year through the deployment of AI Briefing, NAVER has also been making ongoing efforts to optimize the infrastructure costs that inevitably accompany the expansion of AI search. By consolidating GPUs that were previously managed separately at the individual service level into a unified operating platform and utilizing across both training and service, the overall GPU utilization has been improved. In addition, by transitioning to lightweight models optimized specifically for AI search services, the company has strengthened its ability to handle the same workloads in a more cost-efficient manner. Through this multipronged infrastructure efficiency project aimed at addressing the high-cost structure, a reduction of more than 30% in the inference cost has been achieved. Building on this foundation, NAVER plans to extend these efficiencies beyond AI Briefing to AI Tab, further establishing a sustainable operating model for AI services. Next, I'll discuss the performance of the advertising business. Of the 8.8% growth in total platform advertising revenue at NAVER in 2025, AI contributed 55%, enabling the company to outperform all overall market growth despite an unfavorable external environment. Looking ahead to 2026, AI's contribution is expected to expand further. In the fourth quarter, growth moderated slightly as advertising spend declined in proportion to the concentration of travel and tourism demand during the extended Chuseok holidays, which lasted for 10 days. The impact of the extended holiday on total platform advertising revenue growth at NAVER in the fourth quarter is estimated at 2 to 3 percentage points. This quarter, AI-driven optimization of ad inventory and the impact of ADVoost continued to drive revenue growth. Since the second half of last year, the integration of advertiser centers across search and display, together with the expansion of advertiser-friendly programs has significantly lowered barriers to entry for ad placement and led to a substantial increase in new advertiser acquisition. As of the end of December, the number of performance advertisers increased by more than 2x year-on-year and the number of advertisers utilizing ADVoost Shopping is also growing rapidly. Given that advertisers who currently use ADVoost Shopping account for approximately 30% of advertisers running shopping search ads, there is significant room for further expansion. In January, the company also introduced a simplified bid execution feature within the Smart Store Seller Center, enabling Smart Store sellers to experience NAVER advertising more easily and conveniently. In 2026, the company plans to strengthen its advertising competitiveness and expand inventory within the NAVER ecosystem while also pursuing new opportunities in external media, off-site channels and the out-of-home advertising markets. In the fourth quarter, NAVER successfully expanded its advertising inventory across existing internal media channels. In addition, since late November, the company has been testing enhancements to its off-site integration with Meta and plans to continue close collaboration with external partners in the first half of the year. Furthermore, a new advertising product that enables local advertisers within the NAVER ecosystem to run out-of-home advertising easily and at reasonable price points will be launched, and this offering will be scaled in earnest. By expanding presence in external media, off-site channels and the out-of-home advertising market in 2026, NAVER aims to enable domestic advertisers to execute campaigns seamlessly across both online and offline channels while also building sustainable growth momentum for its ad business. NAVER has continued to enhance the overall user experience through improvements in delivery, membership and a structural shift in shopping centered around NAVER Plus Store. As a result, Smart Store GMV accelerated to 10% year-on-year growth in 2025, which demonstrates that structural competitive advantages that NAVER has built are beginning to translate into tangible performance. 2025 was a turning point for commerce. NAVER made a bold decision to move beyond the limitations of search-centric shopping and pursue a new shopping structure built around NAVER Plus Store. While this was a challenging and risky decision, it was not merely the launch of a new service, but a core strategy to redefine the starting point of shopping around discovery and exploration. And this decisive move has delivered clear results within a short period of time. NAVER's commerce business is now ready to move to its next phase. Over the coming years, strengthening the delivery competitiveness will be set as a top priority of NAVER's commerce strategy, and this will be pursued through active investment and execution. This is not about feature level improvements or incremental enhancements. Rather, NAVER is taking an open and a comprehensive approach across partnerships, infrastructures and operations to fundamentally elevate its delivery competitiveness and deliver a level of experience that can reshape market perception. Through these efforts, end delivery coverage is targeted to expand to 25% this year and over 35% next year with a mid- to long-term target of reaching at least 50%, representing a minimum threefold increase from current levels within 3 years. Over time, the objective is to elevate delivery from a constraint on NAVER Shopping to a clear reason for choice. Membership has also emerged as a key pillar of NAVER's commerce growth. Over time, NAVER has continuously strengthened its membership value through global content partnerships, including Netflix, Spotify and Microsoft Game Pass as well as core commerce benefits such as free shipping and free returns. And these efforts have supported the stable retention of recently acquired users within the platform. This is functioning as a foundation for converting short-term users inflows into structural growth. And accordingly, a clear target has been set this year to increase active membership users by more than 20% year-on-year. Building on the competitive strengths established through these changes and investments, the goal is to achieve double-digit growth in Smart Store GMV in 2026. Within the growth framework of NAVER Commerce, the C2C business is also establishing a clear role and momentum. Wallapop, for which the acquisition was completed at the end of January, delivered solid double-digit performance in the European C2C market in 2025. Poshmark also showed a clear rebound from the second half of the year, achieving growth exceeding 20% in both revenue and GMV in the fourth quarter, with a similar level of growth expected this year. In addition, KREAM and SODA continued to strengthen competitiveness in their respective markets and maintain stable growth trajectories, positioning the C2C segment as another key growth pillar supporting NAVER Commerce performance. Starting from the first quarter, Wallapop's results will be consolidated and revenue will be disclosed under a separate classification to provide investors with a clear visibility into C2C performance. While 2025 was the year in which the structure of shopping was reshaped, the years from 2026 and onwards are expected to mark a phase in which meaningful change is delivered in earnest built on a stable foundation. With this foundation in place, NAVER Commerce is positioned to significantly accelerate the pace of execution. Lastly, I will discuss the performance of the B2B business. Fourth quarter enterprise revenue grew 16.6% year-on-year after excluding the base effect from LY-related settlement adjustments. In parallel, NAVER's software and AI business continues to progress in line with plan. Starting with Korea Hydro & Nuclear Power, customized software and AI projects are being rolled out across a wide range of sectors, including finance, economy and defense and the public sector based on detailed understanding of each customer's specific needs. Following the announcement of a Korea-specific medical LLM jointly developed with Seoul National University Hospital in the fourth quarter, a financial and economic AI platform was completed in collaboration with the Bank of Korea in January, making the world's first employment of such a platform by a central bank. Building on the successful use cases in Korea, multiple DX projects are currently underway in regions, including Saudi Arabia, Thailand and Japan. In particular, in Saudi Arabia, service revenue related to digital twin and super app initiatives has been generated since Q4 through a joint venture with the Saudi Ministry of Municipalities and Housing, establishing a monetization reference for sovereign AI. NAVER will continue to focus on strengthening AI technology competitiveness while actively identifying additional sovereign AI business opportunities, both domestically and globally. Going forward, NAVER will continue to focus on strengthening the competitiveness of core business, including search, advertising and commerce and through AI, while over the mid- to long term, expanding global growth initiatives by identifying additional opportunities in sovereign AI and incorporating future growth drivers such as Web3 upon completion of the Dunamu acquisition. Now CFO, Hee-Cheol Kim, will discuss the financial performance.
Hee-cheol Kim: [Interpreted] Good morning. This is Hee-Cheol Kim, the CFO. I will now walk you through Q4 and full year financial performance. Q4 revenue increased 10.7% year-on-year to KRW 3.2 trillion, supported by growth across core businesses, including advertising, commerce and fintech. On a full year basis, growth accelerated with revenue rising 12.1% year-on-year to KRW 12 trillion. Despite continued investments to strengthen AI commerce competitiveness and expand strategic initiatives in commerce, Q4 operating profit increased 12.7% year-on-year to KRW 610.6 billion with an operating margin of 19.1%. For reference, excluding one-off effects such as the LY settlement impact recorded in the Q4 of 2024 and changes to the useful life of certain assets in the Q4 of 2025, fourth quarter operating profit grew 16.8% year-on-year. For the full year 2025, operating profit increased 11.6% year-on-year to KRW 2.2 trillion. Q4 NAVER platform -- fourth quarter NAVER platform advertising revenue, reflecting on the underlying competitiveness of NAVER advertising business increased 6.7% year-on-year as continued improvements, AI-driven optimization and automation initiatives that led to advertising efficiency began scaling in earnest from the first half of 2025 and offset the impact of fewer business days resulting from the Chuseok holiday in October. On a full year basis, growth accelerated to 8.8% year-on-year in 2025 with continued efforts planned to achieve growth above the market level this year. Q4 Search platform revenue recorded KRW 1.06 trillion, down 0.5% year-on-year. Excluding the impact of the LY settlement effect, revenue increased 1.8% year-on-year. For the full year 2025, Search platform revenue rose 5.6% year-on-year to KRW 4.17 trillion. With the transition to the era of GenAI, both user behavior and ad market are being reshaped rapidly. Against this backdrop, NAVER will continue its efforts to focus on building an advertising ecosystem optimized for the AI search environment while also securing differentiated growth drivers through expansion beyond this platform. Commerce revenue increased 36% year-on-year in the fourth quarter to KRW 1.05 trillion and rose 26.2% year-on-year for the full year to KRW 3.67 trillion. As of the fourth quarter, cumulative downloads of NAVER Plus Store app surpassed 12.9 million, while both GMV and new membership sign-ups continued to grow significantly. Notably, new membership sign-ups increased 71% month-on-month in December with the upward trend continuing into January. Commission and sales revenue grew 45.2% year-on-year in the fourth quarter, driven by the successful establishment of NAVER Plus Store, inflows of new users amid changes in the external environment, expanded year-end peak season promotions and the continued impact of the revised take-rate structure. At Poshmark, improvements in the search algorithm and delivery experience amid a recovering macro environment significantly enhanced the user shopping experience, resulting in both GMV and revenue growing by more than 20% year-on-year in the fourth quarter. Commerce advertising revenue grew 26.8% year-on-year in the fourth quarter, driven by continued improvements in ad placement optimization and the rapid increase in the number of advertisers experiencing its effectiveness. Membership revenue increased 17.0% year-on-year in the fourth quarter, supported by the addition of new benefits, including partnerships with Spotify and N Mart delivery, resulting in concurrent growth in both loyal customers and new subscribers. Fintech revenue increased 13% year-on-year in the fourth quarter to KRW 453.1 billion and rose 12.1% year-on-year for the full year to KRW 1.61 trillion. Fourth quarter total payment volume reached KRW 23 trillion, representing a 19% year-on-year growth, while continued expansion of the external ecosystem across both online and offline channels drove the proportion of off-platform payment volume to a record high of 56%. In November, Npay Connect, an integrated terminal supporting payments, reviews, coupons, orderings and rewards was officially launched. Going forward, integration with Place data, including reservations and orders will enable CRM capabilities, positioning the platform as a comprehensive business management solution for smart place business owners with continued feature enhancements planned to help more businesses build and retain loyal customer bases. Content revenue declined 2.3% year-on-year in the fourth quarter to KRW 456.7 billion, while on a full year basis, revenue increased 5.7% year-on-year to KRW 1.9 trillion. Within this segment, WEBTOON revenue based on NAVER's consolidated results in KRW terms declined 2.6% year-on-year in the fourth quarter. For more details, please refer to WEBTOON Entertainment's earnings announcement. For reference, strategic partnership with the Walt Disney Company announced in the previous quarter has been further strengthened following the completion of Disney's 2% equity investment. WEBTOON Entertainment Is currently accelerating development of an integrated platform targeted for launch within the year, enabling users to access Disney's flagship IP portfolio, including Marvel Universe and Star Wars alongside selective WEBTOON original titles in a single destination. This partnership is expected to serve as an important inflection point, extending beyond content distribution to accelerate the establishment of global IP hub and the expansion of presence within the North American content ecosystem. SNOW revenue increased 8.5% year-on-year in Q4, driven by continued growth in paid subscribers to camera apps. Fourth quarter enterprise revenue recorded KRW 171.8 billion, down 3.2% year-on-year, reflecting the full quarter contribution of new GPU as a Service revenue streams that began the third quarter as well as newly generated revenue from global DX projects in Saudi Arabia, including super app and digital twin initiatives. Enterprise revenue grew 16.6% year-on-year when excluding the base effect related to LY settlement adjustments. At LINE WORKS, double-digit revenue growth continued, supported by strengthened online direct sales and steady sales of SaaS products. In addition, expansion into the Taiwan market was completed during Q4, and efforts will continue to focus on accelerating the market penetration by leveraging the experience of maintaining the #1 position in Japan's business chat market for 8 consecutive years. Starting in 2026, revenue classification will be revised to more clearly reflect the performance of core businesses and new growth opportunities. Next, I'll discuss detailed cost items. Development and operation expenses increased 10.2% year-on-year in the Q4 and 8.7% for the full year, primarily reflecting head count growth associated with new hiring. Partner expenses rose 9.1% year-on-year in Q4 and 10.8% for the full year, driven mainly by higher revenue-linked costs, including sales commissions and payment processing fees. Infrastructure expenses increased 10.9% year-on-year in the Q4 and 15.1% for the full year, reflecting continued infrastructure investment as well as the impact of revisions to useful lives of certain assets, including infrastructure facilities. To lead the era of GenAI-driven search and agency services, AI technologies continue to be integrated across all service domains alongside sustained strategic infrastructure investments. Strategic investments will be further expanded this year to strengthen service competitiveness in the AI era, including initiatives such as the launch of a shopping agent and AI Tab. Marketing expenses increased 12.9% year-on-year in Q4 and 20.1% for the full year, driven by strength in strategic marketing initiatives in the Commerce segment as well as higher costs associated with revenue growth. Looking ahead, investments across the NAVER ecosystem will continue to focus on enhancing user experience, particularly in content, AI infrastructure and commerce delivery capabilities, which is expected to result in higher associated costs. They are considered essential to strengthening the competitiveness of NAVER's core businesses and expected to support accelerated revenue growth over the mid- to long term. Next, I'll explain NAVER's operating profit by business segment. First, the integrated Search platform and Commerce segment maintained a stable operating profit margin above 30% despite a slight year-on-year decline in profitability, driven by the accelerated adoption of AI across services, including the expansion of AI Briefing as well as year-end shopping promotions even amid continued solid revenue growth. In the Fintech business, profitability improved modestly, supported by the continued expansion of Smart Store-related and off-platform payment revenues. In Content, operating losses narrowed due to the dissipation of the base effect related to WEBTOON's IPO-related expenses in 2024, along with cost efficiency improvements at SNOW. Losses in the Enterprise business also narrowed, reflecting the full quarter impact of GPU as a Service revenue in Q4. Q4 consolidated net income totaled KRW 164.6 billion, declining 68% year-on-year, primarily due to an increase in goodwill impairment losses recognized at period end. For the full year, net income reached KRW 1.8 trillion, down 5.8% year-on-year. Q4 free cash flow totaled KRW 185 billion, decreasing by KRW 252.8 billion year-on-year as increased CapEx associated with expanded infrastructure investments more than offset solid operating cash flow. Finally, the new 3-year shareholder return program will be outlined. For each fiscal year from 2025 to 2027, shareholder returns are planned at 25% to 35% of the average consolidated free cash flow over the preceding 2 fiscal years to be delivered through share repurchases and retirements or cash dividends. Under this new program, the 2025 fiscal year dividend is expected to total KRW 393.6 billion, equivalent to 30% of 2-year average consolidated free cash flow, subject to approval at the Annual General Meeting of Shareholders in March with payment scheduled for April. The dividend record date as previously disclosed is February 27. This concludes the overview of our Q4 financial results. We will now move on to the Q&A session.
Operator: [Interpreted] [Operator Instructions] The first question will be provided by Jae-min Ahn from NH Investment & Securities.
Jae-min Ahn: [Interpreted] I am Ahn Jae-min from NH Investment & Securities. I would first like to ask a question relating to the agentic AI. In the earnings release call by Alphabet, your competitor, they're also talking about agent-based AI. And in the DAN conference, you also at NAVER had talked about how you would prepare for the shopping agent. In this age of agent-based AI, how would the release of such shopping agent impact your upward trend in terms of the top line revenue for your advertisement and for your commerce business going forward? Second question has to do with your recent setbacks that you experienced in the government-led sovereign AI projects. I would like to get some color as to what your future, I guess, approach and outlook is for your AI business particularly in the B2B space.
Soo-yeon Choi: [Interpreted] Thank you for those questions. Relating to the update on our shopping agent rollout, we have actually completed the development up to a closed beta level, which means that starting next week, we can begin our in-house closed beta test, and we will be able to complete the product for a showcase to our customers by the end of February. So we will start applying the AI agent to shopping first and then expand to other verticals such as restaurants, place and travel up to finance vertical. And in regards to the AI Tab, which we are currently preparing to release it and to roll it out within the first half of the year, where we really bring the generative AI capabilities to our search features, so we will be rolling out and introducing these different agents for each of the verticals as we go forward. In regards to the AI strategy that NAVER employs in bringing its AI technology to the services that it provide from the time of building the service model up until the application of such models, we have a very close-knit connection to the data that NAVER has, search, shopping as well as other services that we provide. And hence, we expect going forward, there will be also continuous positive effect on the growth that we've seen in terms of AI having impact on advertisement as well as our Commerce business. If you look at the data for 2025, the amount -- the extent to which AI had contributed to our advertisement growth was 55%. And as such, especially for the shopping as well, we believe that there is still a lot of room for us to leverage that AI technology in driving further growth for shopping. So we do have expectation and high hopes for shopping as well. Responding to your question about the independent foundation model and the government project, with regards to the outcome of the competition, we accept and respect the decision that the government has made. Having said that, that does not, in any way, reflect on the competitiveness of the technology that NAVER currently has. We will, going forward, exert our utmost endeavors in further focusing on our R&D and in building the technological leadership that NAVER has. With regards to the impact of this on the sovereign AI-related challenge impacting our strategy or the profitability or on our B2B business endeavors, there is not going to be any significant impact.
Operator: [Interpreted] The following question will be presented by Junhyun Kim from HSBC.
Junhyun Kim: [Interpreted] I have 2 questions that I would like to ask. First, you did say that you are planning on expanding AI Briefing by twofold this year. So can you provide a little more color as to what your advertisement adoption plan is? And would there be any cannibalization with your current advertising model? Would there be any increase in the unit prices of the ad that is going to be run? So I would like to gain some understanding as to what the internal expectation is with regards to the expansion of AI Briefing. Second question is, aside from the fact that you -- for your core services, you're incorporating and taking the strategy of on-service AI. So aside from that, do you have any external GPU-related additional monetization opportunities that you are looking forward to?
Soo-yeon Choi: [Interpreted] In terms of AI Briefing in the second half of the year, we will be testing AI Briefing features in the domains of shopping and connecting that to the place feature as well. As mentioned, for AI Briefing, we are seeing different behavior from the perspective of the users in terms of how they enter their queries. We're seeing it becoming more long tailed and also the way in which the response is given is also changing. So hence, with regards to AI Briefing and advertisement as well as those aspects, we will continue on considering those different aspects, including advertisement. So that is why we're looking at different ways to add and expand on the inventory as well as the advertisement model. And as we have said last year, we are expanding the application of the AI Briefing, and we were able to do automatic matching on certain aspects that the users would be exposed to in terms of the search ad. So we were able to increase on the coverage of the search ad, which led to a higher level of satisfaction of the users on the search ad that has been provided. And we also see metrics like the dwell time on the very top of the response page actually increase. And so we will be able to come up with an effective way in providing an efficient advertisement solution even with the increases in the unit cost of the ad. Regarding the question on enterprise, we are seeing good acquisition of customers for our GPU as a Service business. And from Q4, we've been fully reflecting the full quarter record or the financials on our top line revenue. And we are continuously in talks, quite active communication, with potential prospects in order for us to gain additional reference sites. Now NAVER has a distinct competitive position in the domestic market because we have a full stack capability starting from infrastructure, cloud business and also to build up of the models. So we are, at this point, closely working together with customers like Bank of Korea and also building up on our -- the portfolio of reference customers in areas such as Neurocloud as well as sovereign AI initiatives. So we look forward to additional added value projects, not just in the domains of GPU as a Service.
Operator: [Interpreted] The following question will be presented by [ Min-Joo Kim ] from Bernstein.
Unknown Analyst: [Interpreted] Kim Min-Joo from Bernstein. I have a question relating to your Commerce business margin under the Search platform. I understand that with your cooperation with companies like Spotify and Netflix on the membership side, I see that as a NAVER user, I see a lot of such advertisement on your inventory on your ad slots. So I can understand that this partnership would have a good impact on your ad and commerce business, but does it have a negative impact on the margin, especially for the core business of search and commerce. Recently, we've seen quarter-over-quarter margin decline. So I would like to gain some understanding on this aspect.
Hee-cheol Kim: [Interpreted] This is the CFO responding to your question. You are correct that we've been expanding our membership partnership, but that does not have any meaningful impact on NAVER's advertisement margin. I think it is an outcome of certain other independent factors. If you look at the recent movement in the margin for search and commerce, it is mostly attributable to the change in the mix of the portfolio that led to certain changes. Having said that, because we are maintaining our profit margin level above 30% at a quite steady level, we're not too concerned about this recent trend.
Soo-yeon Choi: [Interpreted] We are also making investments into the infrastructure to further bolster our search-related capabilities and so -- and have been running higher level of promotions in regards to our shopping services. Our margin level will be hovering around 30% level. But rest assured, we will defend any additional decline by a close management of the P&L.
Operator: [Interpreted] The following question will be presented by [ Ahyung Cho ] from Merrill Lynch.
Unknown Analyst: [Interpreted] I have 2 questions on Commerce. First, there has been certain change in the competitive landscape starting December. You've mentioned that your performance on the commerce side was quite strong. Would like to know as to how -- to what extent would it continue to improve going forward? And I understand that you've really had a strong marketing and promotion drive starting December. How does that impact your P&L? And especially if you look at the first quarter, I mean in Q4, you had that strong drive behind marketing from December, but for Q1, now that impact is going to be fully captured for the full quarter. So what implication would that have on your P&L? And second question is, we recently saw a news actually yesterday that there will be some legislative effort to allow hypermarkets or discount stores to start early morning deliveries. How will that impact you, especially because of this partnership that you have with Kurly?
Soo-yeon Choi: [Interpreted] As you have correctly mentioned, recently, we've seen heightened level of users' awareness when it comes to the greater e-commerce market in terms of the trust that they have on the platform as well as data-related security aspect as well as creating an ecosystem that is healthy. And such change in the way -- such change in the users' awareness actually is in good alignment with NAVER as it was a company that has been making a significant investment in that regard. And so in terms of the GMV of the commerce as well as the metrics that show the -- the new subscribers to our membership, we've seen some meaningful trends and changes there. And so with heightened level of understanding, we believe that this is not going to just translate into a short-term spillover effect, but that it will become a very important standard for users when they come and pick, which platform to use. So we want to be able to convert this trend into a long-term trajectory. And what I have just said is also shown in the January data and metrics as well. And when we introduced NAVER Plus Store last year, we've mentioned that we have tried various different marketing approaches, which has led to some positive impact. And so in terms of marketing as well as investment, we will sustain that approach. And in terms of the delivery experience, we will make investments so that we can make that experience very distinct to NAVER. Regarding government regulation, there is not much I can say at this point. However, already the large-scale market or groceries that are offline at this point who have competitiveness are NAVER's partner already. And we have the 3PL model as well as advertisement model, which is going to benefit once this ecosystem actually expands with more players equipped with competitiveness.
Paul Choi: [Interpreted] Due to the time constraint, we will be taking the final question.
Operator: [Interpreted] The last question will be presented by Seokoh Kang from Shinhan Investment & Securities.
SeokO Kang: [Interpreted] I'm Kang Seokoh from Shinhan Securities. I would have a question on robotics because there was a news article recently that said that NVIDIA and NAVER is going to collaborate. I would like to gain some more color as to what that collaboration is. Now would it be such that NAVER will develop its robotics control software and in so doing, collaborate with NVIDIA in that process so that the third-party companies would use and depend on NAVER Cloud or will NAVER be making use of the Omniverse platform that currently NVIDIA offers? And once you develop and commercialize this robotics solution, what business model could NAVER benefit from?
Soo-yeon Choi: [Interpreted] Regarding the collaboration with NVIDIA at this point, there is not much that I can disclose. However, in terms of how the software will be used, it will be a model where it will be used based on NVIDIA's Omniverse platform that is currently under discussion rather than not just on single -- solely on NAVER Cloud. In the near future, we are clearly aware that this age of robotics and AI is coming. Our competitive edge is, of course, not in the hardware per se, the robots per se, but our capabilities and strength lie in that intersection between the human and robot interaction. So how will these robots collaborate with one another and how would it interface or interact with the humans in the process of transactions and from commerce, that will be an area where NAVER would be able to leverage its core capabilities. Over the past several years, inside NAVER building, we had hundreds of robots that were used for indoor delivery. And last year, we were able to expand that experience into countries like Japan and Saudi Arabia. And for this year, we are planning on a POC project or POC test in the outdoors, bringing together the capabilities we have in commerce and robotics-based delivery. And I believe that this could very closely couple with the future business model that we can envision.
Paul Choi: [Interpreted] This brings us to the end of the earnings presentation for fourth quarter of 2025. Thank you to all of the investors for joining us, and we look forward to your continued support. [Statements in English on this transcript were spoken by an interpreter present on the live call.]